Operator: Greetings, and welcome to the voxeljet AG Second Quarter 2019 Financial Results Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded I would now like to turn the conference over to your host, Mr. Johannes Pesch, Director, Investor Relations and Business Development for voxeljet. Thank you. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudi Franz, voxeljet's Chief Financial Officer. Yesterday, after the market closed, voxeljet issued a press release announcing its second quarter financial results for the period ended June 30, 2019. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company's website at voxeljet.com. During our call, we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Dr. Ingo Ederer: Thank you, Johannes, and good morning, everyone. Thanks for joining us today for our second quarter call. We are happy with the results for the first half of 2019. Revenue from our Systems segment for the first six months this year is up 40% compared to the same period last year, which was two units of VJET X are installed at the leading German car makers plant and we are starting printing. As you know the frame contract for this consisted of five units and we expect to receive the order for the next three VJET X units in the coming weeks. Let's turn to Slide 4. This year we are celebrating our 20th anniversary and are looking back at a multitude of exciting projects. Remember, we basically started in a garage unit and fast-forward today, products made with our technology are flying in states and we are implementing with VJET X and additive manufacturing solution for true mass production. In our Indirect Part segment, we addressed the need of our customers for production-ready solutions and start to commercialize high performance products like VJET X and HSS. In our Direct Part segment, we have successfully entered the market for direct and functional parts with High Speed Sintering. We have build on the knowledge we have accumulated in the development of VJET X and HSS to accelerate the commercialization of large direct parts production platform. The HSS production solution combined with new materials should be a game-changing combination. We will present a first version of this new printer at the Formnext show in Frankfurt later this year. Our goal today is the same as it has been 20 years ago. We want to establish a new manufacturing standard with pioneers in technology, we put high emphasis on relentless research and development with a clear focus in mind to expand our total addressable market for new and improved products and applications. The vision statement we shared throughout the year represents who we strive to be every day, and essentially how we operate across all aspects of our business as we build this company for the long-term. On Slide 5, we have highlighted our unique selling propositions, which are strongly aligned with the growing trend for higher performance products across all of our end-use markets. We differentiate ourselves from competitors by build size, mature diversity and speed. Our printing systems are modular, versatile and highly scalable and therefore, uniquely positioned to support critical demanding applications and address the challenges and needs that are most important to our customers. Looking at Slide 6 and our integrated business model. It balances long with short sales target and helps us to maintain close relationships with our customers. In our System segment, we manufacture and sell industrial grade high-speed large-format 3D printing systems geared towards mass production of complex models, modes and direct parts. The primary target for this segment is to sell multi-system contracts. In addition to that, we put a high emphasis on after sales activities and are already seeing positive results from these initiatives. In our Services segment, we operate these systems and facilities around the world to offer affordable on-demand access to our technology. The primary target for this segment is to sell large multi-year volume contracts. We are in advanced talks with several parties for such volume contract all across the world. In addition to that, offering services is a great cash flow positive marketing tool to convince customers to purchase 3D printers. Slide 7 shows our global sales network and production footprint. As you can see, we have reached and established position in all major markets in Europe, USA, as well as China. We continue to expand our sales teams around the world by investing in sales leadership, additional application engineers and training. To complement this, we focus on educating our channel partners to ensure true global coverage. Turning to Slide 8, in May this year, we officially opened our new factory in Shanghai. We have a lot of customers coming in and are very excited for this new building and the opportunities it brings both in our Services and System segment. This new facility was build to our specifications and is free of rent for 36 months beginning in March 2019. We plan to sort and manufacture certain parts of our printers at this facility to lower the cost of our equipment and increase our addressable market, especially in the Asia region. On Slide 9, we see some of the potential applications of our products and selective customers. Over the last 20 years, we have been working with leading companies from a variety of industries to produce parts that cannot be produced in any other way with traditional methods of manufacturing. In the automotive sector, for example, we support the manufacturing of the most complex engine components, like cylinder heads or turbochargers to improve engine and overall vehicle performance. Meanwhile, we’re also printing, for example, battery casings for optimized heating and cooling in electric vehicles. We see significant opportunities for revenue growth across our portfolio of solutions for the remainder of 2019 and beyond. On the right side of this slide, you can see an illustration of our new large HSS printer. We are very excited to present this platform for the first time to the public in the Formnext show in Frankfurt in November this year. This is really exciting news as we expect the new HSS printer to expand our addressable market considerably, besides VJET X this project has the highest priorities in our R&D and manufacturing teams. Let's now start with the formal part of the presentation. I will begin with an overview of the second quarter results, Rudi will then provide a more in-depth view of our financials and our outlook for the third quarter of 2019. Following his comments, we will be happy to take your questions. Let's turn to Slide 11. We had a very exciting GIFA show in Düsseldorf this year where we presented our new lineup of high-speed 3D printers. We had three different printers at the show: one, VX1000-S IOB at our partner ASK's booth; one, VX1000-S ODB at our own booth, and one VJET X printer at our partner Loramendi's booth. We showed VJET X for the first time to the public and received a lot of attention. I strongly believe that this is the most powerful additive manufacturing solution currently available on the market. Keep in mind, a leading German car maker plans to use this 3D printer in the mass production of a new engine component. This new light metals aluminum component can help to reduce vehicle CO2 emission significantly. According to BMW, by using additive manufacturing technologies, engineers can manufacture cylinder heads with the lowest weight possible and then optimize geometric shape with the heat control. New cylinder heads created with this technology can reduce engine weight by 2 kilograms. VJET X K can not only use to create ultra light bit parts, but the efficient temperature control of combustion engine, but also for batteries in the electric vehicles or for the protection of very complex gearboxes and similarly lightweight applications. In total, we generated roughly 150 qualified leads during the show which is a great result. Let's turn to Slide 12 of the presentation and begin with the highlights for the second quarter of 2019. Revenue was approximately €5.1 million, which represents a 4% decrease compared to last year's second quarter. The reason is Services revenues in EMEA were slightly lower in May and early June. Since then it has pickup again. The main reason for the lower revenue was lower demand from French customers, which led to a slightly lower contribution to Services revenue from our German service center. Overall demand is good. Just recently we have had received significant orders from large customers for printer parts. We are working hard to catch up and are optimistic as we see some larger orders coming in. Revenue at our U.S subsidiary Michigan and our subsidiary in Shanghai is ramping up nicely. To meet the growing demand in U.S., especially for PDB solutions, we are currently shipping VX2000 PDB to the U.S. This is our second largest system. Revenue from our Systems segment, which includes revenue from selling 3D printers, consumables and spare parts as well as maintenance, increased 13% to €2.1 million in the second quarter of 2019 from €1.9 million in last year's second quarter. We delivered two new printers in this year's second quarter compared to one used and one refurbished printer in last year's second quarter. The demand for our solutions continues to be high, and we are working hard to convert those opportunities into orders. We are happy to report that we are making good progress in increasing after sales revenue. This is partially related to the higher install base of our 3D printers. In addition to that, we reorganized some responsibilities in the after sales segment and are offering tailored solutions to our customers, for example, to modular maintenance contracts. At the end of the second quarter, we had a backlog from Systems of roughly €3.1 million, which represent six 3D printers. Revenue from our Services segment, which focuses on the printing of on-demand parts for our customers decreased 40% to €2.9 million in the second quarter this year from €3.4 million for the same quarter last year. This decrease is due to the reasons mentioned earlier and has also impact -- impacted our gross margin. Slide 13 summarizes the results. When looking at the operating expenses, I would like to highlight two points. First, selling expenses increased as we hired additional colleagues and increased annual salaries. We remain focused on our growth strategy, which includes expanding our sales team around the world. In addition to that, we have had the GIFA show in June, which is the biggest show for us and takes place every four years. Second, we will maintain the expenses allocated for research and development at a high-level and invest in order to be able to expand market share and to open up new markets, because we are manufacturing complex and extensive hardware and are dealing with industrial customers, these R&D investments are not immediately contributing to top line growth. However, as our new printer VJET X highlights we are uniquely positioned to support critical demanding applications and address the challenges that are most important to our customers. Make additives series production. I strongly believe that there is no other company close to reaching the same level of productivity as we do with VJET X. Let's turn to Slide 14, and an explanation of what we do with VJET X. Conventionally sand parts for the series production of metal parts are produced by so-called core shooting systems. Sand is shot into a metal tool under high pressure to produce the sand part which is then used in the casting process. This is inexpensive, but limits the possible complexity of the sand part. For example, undercuts of draft angles are difficult or not possible at all. Sometimes individual casts would need to be manufactured as multiple components are then assembled into a single piece. Therefore the complexity of the sand parts and as a consequence the complexity of the resulting metal component is very limited. This means that new desired properties like to reduce weight and optimal geometric shape for the heat control cannot be achieved. With VJET X, we have developed a new printer which is 10x faster than previous models, processes and inorganic binding system which creates zero emissions during core printing, storage and when using the sand cores in the casting process. It is integrated into fully automated handling systems for pre-and post processes, like loading and unloading of the 3D printers, cleaning of the printed parts via robotic systems and the transport of the sand parts through the casting lines. VJET X replaces core shooting systems which 3D printers to mass produce highly complex sand parts. The rest of the already existing supply chain remains unchanged and can still be used which states our customers a significant amount of infrastructure investment. This allows the advantages of 3D printing, mainly product and process innovation to be combined with those of conventional manufacturing of metal parts via casting. Cost advantages and high degree of automation, we call this combination hybrid additive manufacturing or HAM. With this technology it is possible to mass-produce metal components with the new desired properties at the cost of conventional manufacturing. Another important advantage of HAM is that high recertification costs can be avoided as the casting process is the standard process for the production of metal parts. So let's turn to Slide 15 and an explanation of why we believe this is important. With tightening regulation on pollution and fuel consumption, the evolution of CO2 regulation remains the main driver for changes in vehicle technology. China, for example, is implementing one of the most stringent emission standards and the ministry set a goal for carmakers to cut new models comprehensive fuel consumption to 5 liters per 100 kilometers by 2020. We can see similar development in Europe and U.S. This prompt carmakers to make extra effort on lightweight materials and to introduce smaller downsized engines with similar performance numbers, but less fuel consumption. This means that energy density is higher and new geometric shapes are necessary for an efficient heat control. As mentioned in the beginning, new shapes can only be build via additive manufacturing. On the slide you can see the cost of part of printing in aluminum. In the automotive industry, demand for lightweight material is projected to grow at a unprecedented rate and if used in manufacturing is expected to double by 2030. From this slide we can immediately see that direct metal printing as of aluminum in its current form is too expensive. The reason here is the lack of printing speed and automation as well as the high material cost. Those are expected to come down and the printer speed is expected to increase over time as we can see by vision 2025. However, if we take a substantial amount of time and investment to realize this vision, if it is at all possible. In the bottom right of the graphic you can see why our solution VJET X is critical. It allows the production of complex aluminum parts as a cost of conventional manufacturing already today. Let's turn to Slide 16 and see what this means in practice. A leading German car manufacturer launched a project several years ago with the aim of bringing additive manufacturing into automotive series production for the reasons just explained. voxeljet and its partners prevailed over several competitors and developed a new high-speed type 3D printer, VJET X. The problem of the lack of automation was solved together with a partner company, which is an established supplier of core shooting systems with the same automobile manufacturer. Together with another partner from the chemical industry, the new inorganic binder system was developed that does not produce any harmful emissions during production in casting of the sand models. This is very significant as you can already today mass manufacture complex metal parts at a fraction of the cost of other players in the industry. We estimate that we have a competitive advantage of at least five years. On Slide 17, we have summarized some impression of the first presentation of VJET X. On Slide 18, you can see the massive processing unit, which is the reason why this new printer is so fast. It is the heart of VJET X that makes additive mass production possible, which is a combination of one large linehead and two recoating units and an IR lamps, which leaves with unparallel speed. I believe this to be the most advanced piece of technology in the whole additive manufacturing industry. We have also included a link to a video on the slide. Turning to Slide 19, I believe we have the unique opportunity in front of us. Our investments in solutions and innovations are pointed directly at this opportunity. We expect our R&D investments to have high returns for us. We can develop product that carry gross margins above the company's average and we can diversify with those technologies in a wide variety of applications. We are a technology led additive manufacturing company and these investments will continue to strengthen our position as a leader in the global AM industry. When introducing our business model, in the beginning I mentioned two primary targets. One for each of our business segments. In Services, we want to sell large volume contracts for printed parts. One example for this type of business is the contract we have signed with a customer in U.S. As mentioned in the beginning, we are in advanced talks with parties across the globe for such volume contract. In Systems, we want to sell multisystem contracts. Recent examples here are the VJET X signed at the end of last year and the two units of VJET X we have delivered to the carmaker so far. I firmly believe that overall demand for our technology is greater than it had ever been. Our priorities this year remains on execution, improving efficiency and increasing disruptive new products to drive customer shift to 3D production. With that, I would now like to turn the call over to Rudi.
Rudi Franz: Thank you, Ingo, and good morning, everyone. We remain committed to increase our levels of profitability and sales. We are closely managing discretionary expenses, while maintaining investments that will drive future profitable growth and I think we’re striking the right balance here. Our partner for potential future printer sales is well filled with sales opportunities in various phases of completion, we continue to work hard to turn these prospects into orders. We put the highest emphasis on managing our sales pipeline as accurately as possible and are investing a significant amount of our time into monitoring the progress of our colleagues all around the world. I would like to begin by providing financial details and adding some additional context to our results before discussing our outlook for the rest of 2019. Turning to Slide 21. Our total revenue decreased 12% to €5.1 million in the second quarter compared to €5.3 million in last year's second quarter. The reason is that Services revenues in EMEA were slightly lower in May and early June. This was mainly related to low orders from France, since Senate has picked up again. Overall demand is good and based on the current information we expect the next month to be similar as with the previous years in terms of Service revenues. The U.S and Chinese service centers continue to ramp up nicely and contribute higher revenues. In Systems, we had strong after sales activities as a consequence of higher install base of our printers and more focused after sales activities like offering modular maintenance contracts. Gross profit and gross margin in the quarter were €1.5 million and 32% compared to €1.9 million and 35.2% in last year's second quarter. The decrease was mainly related to lower gross profit margin contribution from the Services segment, as a result of lower utilization in the German service center and high depreciation expense in the U.S facility, as we added additional 3D printers last year to meet the growing demand. The next slide show our segment reporting for the quarter. On Slide 22, revenues from our Systems segment, which includes revenues from selling 3D printers, consumables and spare parts as well as maintenance, increased 13.1% to €2.1 million from €1.9 million in last year's second quarter. This is excellent news. As mentioned in prior calls, the recurring revenues portion from our population of 3D printers continues to grow. The reason is twofold: first, we sell more printers; and second, we focus on after sales activities. Therefore, we believe we are well positioned to enjoy the more predicable growth at such recurring revenues that provide us with. We sold two new printers in this quarter compared to one new and one used refurbished printer in last year's same period. Systems revenue represented 42.2% of the total revenue this quarter compared to 35.8% in last year's second quarter. Gross profit and gross margin for our Systems segment in the quarter was [indiscernible] and 24.9% compared to orders of €7 million and 25.2% in last year's same period. As utilization picks up, we expect gross margins from the Systems segment to be above 40% consistent with the outlook we’ve given in the past. Remember not all new products are yet contributing to revenue growth as we just started to commercialize them. We expect to book revenues for the two VJET X units next year. Also its important to understand that the individual printer gross margin contribution can already be above 50%. Depending on printer type and system configuration, we expect to receive the order for additional 3D VJET X printers in the next two weeks. On Slide 23, Services revenue decreased 13.6% to €2.9 million compared to €3.4 million in last year's second quarter. This decrease is mainly due to a lower utilization rate in the German service center, primarily as a result of lower demand from France in May and early June. This was partially offset by higher demand in the U.S. and China. We are working hard to catch up and are optimistic as we see some larger orders coming in. The top line outlook, of course, remains dependent on the underlying economic condition. We’re carefully monitoring our markets and are in constant dialogue with our customers. Gross profit of our Services segment decreased to €1 million from €1.54 million in the second quarter of 2018. This was mainly due to the lower utilization rate at the German service center for the reasons mentioned earlier. To meet the growing demand in the U.S., and China we continue to add additional 3D printers. For example, we are shipping our second largest system of VX2000 PDB to the U.S. We are in talks with several potential customers for the system. Looking now to the rest of the income statement on Slide 24, SG&A expenses were €3.3 million in the second quarter of 2019. This compares to €3.1 million in last year's second quarter. If you break this down, we can see that selling expenses increased, as we hired additional colleagues and as a result of annual salary increases. Also we had GIFA show in June, which is the last most important show to us and takes place every four years. Administrative expenses increased as our ongoing costs related to being a public company increased. Research and development expenses of €1.7 million or 34% of revenue, which is really significant. As a large proportion of R&D expenses are related to VJET X and the larger HSS production platform, as Ingo highlighted earlier. Operating loss was €4.2 million in the second quarter of this year compared to an operating loss of €2.4 million in the comparative period in 2018. This increase was primarily related to significant higher other operating expenses as a result of noncash effects from intercompany loan. The total quarter-over-quarter negative impact from gains and losses from foreign currency transactions, an operating loss of $1.1 million. Net loss for the quarter was roughly €3.9 million or 79% per ordinary share compared to a net loss of €2.9 million or €0.79 per ordinary share in the prior year's quarter. From an ADS basis, net loss was €0.16 per ADS in the second quarter of 2019 compared to a net loss of €0.67 per ADS in the second quarter of 2018. This is based on the weighted average number of outstanding ADSs of €24.18 million for the three months ended June 30, 2019, compared to the last year's same period, the number of ADS outstanding was €18.6 million. Slide 25 shows selected balance sheet items. At June 30, 2019, the company had cash, cash equivalents and short-term investments and bond funds of roughly €15.1 million. Total debt at June 30, 2019, was €21.8 million. Total debt consists of €20.4 million of long-term liabilities, which includes €10 million from the EIB Horizon 2020 venture debt program and €4.2 million of lease liabilities as a result of initially applying the IFRS 16 standard. These lease liabilities were previously classified as operating leases. Weighted average ordinary shares outstanding for the quarter were 4.836 million, which equates to €24.18 million ADSs. I remain confident with our cash balance and overall liquidity position. We believe that our balance sheet with an equity ratio above 60% positions us well for the long-term. Moving now on to Slide 26 and our revenue guidance for the full-year, which remains unchanged from the last earnings call. Full-year 2019 revenue is expected to be between €27 million and €30 million. The gross margin is expected to be about 40%. SG&A spending is expected to be in the range of €12 million to €12.5 million. And R&D spending is expected to be between approximately €5.5 million and €6 million. Depreciation and amortization expenses are expected to be between €3.75 million and €4 million. CapEx spending for 2019 is projected to be in the range of €2 million to €2.5 million, which primarily consists of ongoing investments in our global subsidiaries. Adjusted EBITDA, which excludes the impact of foreign exchange valuation, is expected to be neutral to positive for the second half of 2019. Revenue for the third quarter 2019 is expected to be in the range of €4.5 million and €5.5 million. On Slide 27, we have summarized our projected long-term operating model. This concludes my remarks. And with that, I will now open the call up for your questions. Operator?
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Troy Jensen with Piper Jaffray. Please proceed with your question.
Troy Jensen: Hey, gentlemen. Thanks for taking my questions here.
Rudi Franz: Hi, Troy.
Troy Jensen: I guess, first -- hi, Rudi. Hi, Ingo. Hey guys, so I just want to talk about kind of the Q4 implied guidance here. I mean if we go to the midpoint of your guidance for September, it implies you got to do, like a €11.5 million, just stay at the low end of your range. So can you just talk about the visibility that you have for that implied December quarter number?
Rudi Franz: So we just talk about Q3, Troy, and the visibility on those numbers is reflected by the guidance. I would say we see the growing revenue of our service center activities plus the revenues, which we see from our other system related revenues, as secured. We have backlog on hand, which we currently shipping or installing to clients. And based on the information we believe that guidance which have been given is very likely, but I can't predict -- I can't make it closer simply because of we don't know when we get to sign off on the individual printer, it always can move from one month to the other and specially end of September. For example, it's a pretty, I would say, a pretty busy month, so we are cautious. On Q4, we have a pretty good overview currently already. We are currently shipping equipment already in the relevant market for installation, meaning that's part of the backlog. And we have equipment in the relevant market, meaning in the U.S and in China to be in a position to sign off on revenue on relatively short notice [ph]. And so that prepared for achieving pretty strong Q4 quarter.
Troy Jensen: Okay. So can I add just a couple more on that. I know you guys talked about the big European customer and you've shipped to and you guys expect to three more orders shortly. Will those orders convert into revenues this year? Is that something that slips into 2020?
Rudi Franz: So you know that the first machines have been installed this year. To be realistic, we expect revenue for these two systems in next year. So that is a certain sign of procedure needed and this is a big, big company, so they will go according to the sign off procedure. The new order, which we expect to come in, in the upcoming weeks with three machines is set for installation for end of next year. With the timetable we have had on the first two systems, we don't believe that we can account these three for revenue in 2020. So it's order 2021.
Troy Jensen: Okay. All right. Understood. And then how about just -- Ingo, for you to the European automotive that something we have heard for the past eight, nine months that it's weak. It sounds like for you guys it was just weak in France, if I heard you correctly, and I mean how confident are you that we’ve bottomed now and we can grow from here?
Dr. Ingo Ederer: So, surely that the automatically industry has currently a hard time especially in Europe. We don't see it for this moment in our Services business too much as you know we have various clients, we have also big chunk of our market is coming outside of automotive. The clients we have on typically also for a few suppliers, they have long-term contracts with their customers. So for the moment we're doing fine, but of course we are cautious and looking carefully at the markets for the moment. We don't see it as dramatic as maybe other reports in the news. Interestingly also with the Systems segment, the Systems segment demand is a very strong. Currently we don't see any influence on the Systems inflow with the current discussions here, you can follow in the media. So maybe this is something for the next year. For the moment, as said, market is very strong, demand is strong. So all good for this moment.
Troy Jensen: Okay, good. All right, guys. Well, good luck in the second half here.
Dr. Ingo Ederer: Thank you very much.
Rudi Franz: Thank you, Troy.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I will turn the floor back to Dr. Ederer for any final comments.
Dr. Ingo Ederer: Thank you. The momentum we are driving is grounded in strong product innovation. As mentioned in the beginning, we are a technology company whose mission is to establish a new manufacturing standard. The foundation of our success will always be inspiring and innovative product. It is how we drive distinction in the marketplace and it is a competitive advantage under any market conditions. While our organic investment remains the primary engine for growth, we made partner with other industry players in the investment that accelerate our life cycle value strategy and strengthen our vertical capabilities, like, for example, it is the case with VJET X. Wrapping things up, I am excited about both our progress and our prospects and we are competing aggressively for our total addressable market, the largest opportunity in our history with a lot of room to grow market segment share. In some of our segments, we are facing new research and competitors and in other segments, we are the new competitor. But in all cases, competition brings out very best in our company. Thank you for joining today's call and we're looking forward to speaking to you again in November. Thank you.
Rudi Franz: Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.